Operator: Ladies and gentlemen, thank you for standing by. I am Jota, your Chorus Call operator. Welcome, and thank you for joining the Alpha Bank conference call to present and discuss the 9 months 2025 financial results. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Alpha Bank management. Gentlemen, you may now proceed.
Iason Kepaptsoglou: Hello, everyone, and welcome to the presentation of our third quarter results. I'm Iason Kepaptsoglou, Alpha Bank's Head of Investor Relations. Our CEO, Vassilios Psaltis, will lead the call with the usual summary and a few updates. Our CFO, Vassilios Kosmas, will then go through this quarter's numbers in some detail. Q&A will come at the end, and we should wrap up within the hour. Vassili, over to you.
Vasilis Psaltis: Good morning, everyone, and thank you for joining our call. Let's start with the usual overview of financial results on Slide 4, please. As you can see, reported profits for the 9 months stood at EUR 704 million, already more than what we have made in the preceding fiscal years. Earnings per share of EUR 0.27 are 73% of the target we have set for the year. This translates into a 13.9% normalized return on tangible equity. We've also accrued EUR 352 million for distributions so far this year, already more than the distributions out of 2024 profits, and we intend to distribute circa EUR 111 million as an interim cash dividend in about a month's time. The main pillars of our performance remain the same. We have defended against the fall of the interest rates, seeing the second quarter of sequential NII growth. We recognize that the decline in interest rates will come less relevant in the coming quarters, but our ability to prudently position the balance sheet to maximize the value we can extract will remain relevant, be it on policy rates or spreads. We see structural tailwinds to our fee income line coming from Asset and Wealth Management, alongside lending and transaction banking. Fee income growth is the product of the initiatives we have taken that are now bearing fruit, both from the corporate as well as the affluent side of the business. We continue to position the business to maximize the recurring value we can create for our stakeholders in a sustainable way. Now allow me to spend some time on the strategic outlook, starting with Slide 5. Our strategic partnership with UniCredit continues to be a cornerstone of our transformation and growth agenda. As of last week, UniCredit has increased its stake in Alpha Bank to circa 30%, reinforcing the depth and commitment of our partnership. This is not just a financial investment. As UniCredit CEO, Andrea Orcel repeatedly stated, it's a strategic partnership, delivering tangible commercial, operational and systemic benefits for both institutions. We've cooperated closely and successfully combined our Romanian subsidiaries in a record time frame on footprint and unlocking synergies in cross-border operations. Furthermore, our clients now benefit from UniCredit's European network across 13 countries. This uniquely positions Alpha Bank as a gateway to Europe and the bank of choice for over 5,000 wholesale clients in Greece. In Wealth and Asset Management, the launch and expansion of the OneMarket funds suite has been a major success with close to EUR 900 million distributed to our customers. In Wholesale Banking, we have collat over EUR 300 million in letters of credit and guarantees through our transaction banking business and approved circa EUR 0.5 billion in international syndicated lending since the partnership began. Additionally, bilateral FX payment volumes have reached EUR 650 million year-to-date, reflecting strong transactional momentum. In Capital Markets and Advisory, the integration of our investment banking platform is progressing well. Together with UniCredit's advisory franchise, we're targeting joint deal origination across various sectors. Lastly, beyond commercial gains, we are also leveraging UniCredit's expertise in customer experience, process simplification, upskilling and reskilling programs, compliance and operational resilience, areas that are crucial to our long-term sustainability. This partnership aligns with Europe's vision for cross-border integration and financial stability. It supports the capital market union and enhances systemic resilience across Europe. Looking ahead, we aim to scale further our syndicated lending, transaction banking and cross-border advisory and broaden the distribution of asset management products across UniCredit's network. Our partnership with UniCredit gives us a competitive advantage that differentiates us from the rest of the pack, one that we aim to fully utilize to enhance the value that we can create for the benefit of all of our stakeholders. Our story remains intact, as you can see on Slide 6. Our strategic actions alongside our balance sheet tactical positioning will allow us to maintain an upward trajectory to our bottom line. Our defensive net interest income profile is now evident as we are amongst the first commercial banks in Europe to see growth in their net interest income line. We continue to dynamically manage our balance sheet, capturing the tailwinds of loan growth. The structural growth potential of the regions where we operate will allow us to maintain a pace of net credit expansion above the EUR 2 billion mark. We are stepping up our efforts for incremental fee income generation. Our franchise is strongly positioned to benefit from the long-term uplift in the penetration of fee-generating services. And as mentioned above, we are leveraging the partnership with UniCredit to accrue tangible benefits quarter after quarter. Our profitability is on an upward path, and we see earnings growing by 12% beyond 2025, still notwithstanding the impact of any share buybacks. Let's now move to Slide 7, please. The trends for 2025 and beyond allow us to maintain a differentiating positive EPS growth trajectory in the medium term. This differentiation should now be apparent vis-a-vis our domestic and European peers. EPS is expected to grow by 10% per annum over the planning period, above consensus estimate even before accounting for the effect of any buybacks. And then on Slide 8, please. We have been diligent and clear on how we intend to allocate capital and our priority remains unchanged. Our first and foremost priority is to fund profitable loan growth and invest in bolstering our capabilities. Our capital generation capacity suggests that we ought to be increasing payout. Lastly, our excess capital provides us with significant firepower to do more. Allow me to provide you with an update on these priorities, starting with loan growth on Slide 9. Loan growth in Greece continued to show resilience with corporate lending continuing to lead the way. We are seeing sustained momentum driven by a combination of strong economic fundamentals, a robust investment cycle and the structural support mechanism in place. Businesses are actively engaging with the banking sector to finance expansion, transformation and innovation, reflecting a deeper shift in the corporate landscape. We expect this dynamic to persist fueling high single-digit growth for corporates. The mortgage market presents a more complex picture. Demand is evident, but structural constraints around supply and legacy portfolio dynamics continue to weigh on growth. Government support measures offer some relief and growth is now turning positive. As a result, lending to individuals will be a growth area in the coming years. We're operating in an environment of hidden competition, particularly in the large corporate segment, which has led to gradual compression in spreads. We're actively defending profitability through prudent underwriting, optimizing risk-weighted assets and increasing fee and commission income. The commercial book remains resilient, and we are confident in our ability to navigate these dynamics effectively. Overall, the outlook remains constructive. Corporate lending will continue to be the engine of growth, supported by a recovering economy and targeted investment flows. Whilst mortgage activity may be -- may be slow in picking up, the broader loan book is well positioned to deliver in our expectations. We remain confident in our guidance and continue to expect mid- to high single-digit growth over the medium term. On Slide 10, you can see the revenue benefits from the investments we have made in growing parts of our core business. Beyond balance sheet growth, we have made important strides in diversifying our revenue streams and enhancing our cross-selling capabilities, which is a key pillar of our medium-term growth strategy. Trade finance and overall transaction banking fees have seen strong growth, achieving an 8% CAGR, boosted by our internal efforts to deepen our share of wallet with clients and also thanks to our partnership with UniCredit and the larger product pallet that they are now able to offer us to our corporate customers. In Asset Management, fees and assets under management have both doubled since December 2022, with over 60% of this growth coming from net new money, complemented by positive market effects. The former highlights our growing distribution capabilities, capitalizing on our affluent and wealthy clientele whilst the latter demonstrates the outperformance of our products. Mutual funds have taken the lion's share of this growth with net sales accounting for 75% of the total growth and a continuing bias towards balanced and equity funds. These are products that carry higher management fee margins, helping our fee CAGR in asset management reach an impressive 32% since the first quarter of '23. The outlook for these 2 areas remains very constructive. Our corporate customers, they are increasingly more sophisticated and their needs are expanding beyond vanilla lending. As such, we aim to support them in their growth journey through an expanded pallet of transaction banking, trade finance, treasury and advisory product, the latter with our new larger business following the acquisition of AXIA Ventures. In Asset Management, Greece is at early stages of a new secular trend with rising disposable incomes and improving financial literacy among affluent customers, creating long-term tailwinds for AUM growth. Moving on to Slide 11. Shareholder remuneration has been on a consistent upward trajectory, reflecting both our strong capital generation capacity and our commitment to sustainable value creation. We reiterated dividends with -- we started again paying dividends with a 20% payout ratio, increased this to 43% of reported profits last year, and we are currently accruing at 50% for 2025. This progression underscores our confidence in the robustness of our capital position and our ability to support higher distributions going forward. Indeed, our capital generation capacity suggested the payout north of 50% is sustainable, aligning with our strategic objective to deliver predictable and growing returns to our shareholders. Cash dividends have followed a similar upward path, starting with EUR 61 million out of 2023 profits and rising to EUR 70 million for 2024. For the current year, the introduction of an interim dividend of EUR 111 million to be paid in the fourth quarter confirms the positive momentum and our disciplined approach to capital deployment. Now when it comes to the split between cash dividends and share buybacks, our approach remains balanced and responsive to market conditions. While cash dividends provide immediate and tangible returns, buybacks offer flexibility and accretive value, particularly in periods of market dislocation. We continue to assess the optimal mix guided by our capital planning framework and our overarching goal of enhancing total shareholder return, cognizant of the change in the return of investment for future buybacks. Let's now move to M&A and start with Slide 12, please. We view M&A as a powerful tool that can accelerate the delivery of our strategy. The 3 transactions we announced earlier this year, FlexFin, AstroBank and AXIA Ventures, they are fully aligned with our framework. FlexFin enhances our factoring capabilities and opens access to underserved SME segments. AstroBank consolidates our systemic presence in Cyprus, doubling its profitability. AXIA Ventures strengthens our advisory offering, elevating our dialogue with corporate clients with additional focus on cross-border capabilities in conjunction with our UniCredit partnership. Moving on to Slide 13. As we have stated clearly, the financial impact of these transactions with a total 6% accretion to EPS and 60 basis points benefit to profitability in terms of return on tangible equity at the cost of circa 60 basis points of capital. Integration efforts are already underway, and we're working toward full rollout in line with our strategic road map. To ensure seamless execution, we have appointed a dedicated Chief of Integration and Group Initiatives Officer, who oversees all aspects of delivery and sits on the Executive Committee. This governance structure ensures strategic alignment, operational discipline and timely execution. We will continue to pursue opportunities that fit our framework and deliver long-term value to our clients and shareholders. And then finally, from my side, I'm pleased to announce that we are planning to host an Investor Day in the second quarter of 2026. We're close to the end of the period covered by our last event held in June 2023. So we believe it is time to update the market on the progress we have made across the group and explain our strategic priorities going forward. Planning is already underway, and we will be sharing more details in the coming months. At the full year results stage, you should expect to receive guidance for 2026, but with a 3-year business plan subsequently unveiled during the Investor Day. And with that, Vassili, the floor is yours.
Vassilios Kosmas: Thank you, Vassili. Hello to everyone from my side as well. Let's start with the P&L on Slide 16, please. Quiet quarter in terms of one-off items this time. We've had EUR 25 million well-publicized donation to the Marietta Giannakou program for the reconstruction of schools as well as a few transformation and NP transaction-related costs. As you can see, trading and other income was also particularly low this quarter, mainly stemming from the liability management exercise we did on our Tier 2 note back in July. That had a EUR 12 million impact. As a result, our reported profit is a bit lower this quarter, while on a normalized basis, we're still cruising comfortably above the EUR 200 million line. Obviously, these 2 have implications for the full year guidance. Overall, we still expect to beat our original guidance of EUR 850 million in reported profits by a bit over 5%. We're still looking at EUR 2.2 billion of revenues, north of EUR 1.6 billion in NII and north of EUR 460 million in fees. Costs are still expected to be contained at EUR 870 million. We're tracking very well against the improved cost of risk guidance of 45 basis points. Associate income would likely come in at EUR 30 million. Tax, excluding the one-off PTA recognition should around about 26%. And finally, in terms of one-offs, we're likely going to have a couple of negatives in Q4, bringing the total for the year to positive EUR 30 million. All in, that should give a normalized EPS of EUR 0.35, in line with the consensus. With that, let's move to the next slide and talk about the underlying results and the main P&L items. Both net interest income and fees are growing sequentially. So the underlying core revenue picture remains solid. Operating income was down 5% Q-on-Q, solely attributable to trading, where, as mentioned, this quarter, we had a loss on the LME. Costs at EUR 214 million were flat versus previous quarter, and we're still trading better than expected. We expect a significant uptick in the fourth quarter on account of some seasonality typical towards year-end and thus retaining the full year guidance of circa EUR 870 million. Impairments came in at EUR 45 million for the quarter, bringing cost of risk at 45 basis points, in line with guidance and reflecting a benign credit environment. Finally, on the bottom line, reported profit after tax was down 36% as we had a large positive one-off in the previous quarter and a small negative this time. Normalized stood at EUR 217 million, almost flat Q-on-Q. So I still feel very comfortable with the full year guidance. Next slide on the main balance sheet items. Performing loans are up 2% in the quarter and a 13% jump from last year. Customer funds are also up 4% in the quarter with a year-on-year increase of 9%. Tangible book value, up 1.3% in the quarter on goodwill recognition with the annual growth rate of 13% after adjusting for dividends. And then on capital, which stands at 15.7% in terms of fully loaded CET1. But as you might remember, we will have a 60 basis point headwind in Q4 upon completion of AstroBank, already completed and AXIA. Let's move to Slide 19, where we discuss the 2 main components of revenue. NII was up for one more quarter, continuing the upward trajectory. At EUR 42 million, we're still seeing the impact of rate declines and to a lesser extent, the dollar depreciation. On the commercial side, with average rates still down in the quarter, we're seeing a lower contribution from loans. Even though rates appear to have stabilized, the lag effect of repricing means that we'll still have a headwind going into Q4. Deposits and funding costs continue to improve, although the pace of rates decline means that time deposit pass-through are more elevated than expected. With rates now hopefully at the trough, we should see some improvement in time deposit spreads. On the noncommercial side, securities book hasn't grown, so there's no material improvement this quarter. On the fee and commission side, we saw a small decline in the quarter. If we exclude the gain from the one scheme partnership with Visa in the previous quarter, third quarter was actually up 7% on a comparative basis. For yet another quarter, the star performance was asset management at EUR 32 million, being already currently running double the run rate of the 2022-'24 3-year average. Business credit fees came at EUR 33 million, up 2.3% versus the second quarter. Fees from cards and payments are seasonally strong in the third quarter. Overall, fees are up 10% versus the same quarter last year and even more if we adjust for the government initiatives, reinforcing the guidance we have given you for the year. Now let's move to Slide 20 to look at loans and customer funds. Performing loan balances reached EUR 35.7 billion with some EUR 700 million of net credit expansion in the quarter. Another strong quarter with EUR 3 billion of disbursements and a similar pattern in the board, corporates, including SMEs, driving growth evenly spread across sectors. Some small contribution from retail at around about EUR 50 million. Year-to-date, net credit expansion has now reached EUR 2.2 billion, while once we account for the negative FX headwind from the weaker dollar and the asset quality flows, performing balances are up EUR 1.6 billion. Net credit expansion is slightly better than expected and the repayment of a large circa EUR 300 million corporate exposure we were expecting in Q3 has yet to occur. This repayment has now been rolled into Q4, so do take that into account when forming your estimates. Spreads continue to be under pressure, but we remain disciplined in our underwriting criteria. As such, we will avoid deals or refinancings that do not meet our own credit criteria and are not accretive to our shareholders. Turning to customer funds, another quarter of solid growth with circa EUR 1.6 billion of growth in deposits, almost entirely coming from domestic corporates. Please note that about EUR 0.5 billion relates to bond placement that we led at the end of the quarter, which has quickly reversed in Q4. On AUMs, we continue to see good underlying net sales, EUR 400 million this quarter with circa 3/4 driven by OneMarket funds this time. Year-to-date, we have had EUR 1 billion net sales, reaching the year-end target a quarter earlier. AUMs have grown 17% versus last year, 1/3, as you can see, attributable to net sales and 2/3 coming from valuation effects, predominantly in equities. Contrary to the local industry, the dominant products we sell are equity and balance funds with good management transaction fees under the typical target maturity products that replicate time deposits. The above reflect the strength of the bank franchise. Turning to Slide 21 on asset quality. NPE ratio was at 3.6%, mainly on account of circa EUR 70 million of retail net flows. Coverage ratio has thus edged to 55%. The underlying picture remains solid. We're not particularly concerned with any flows as should be evident by the underlying cost of risk that stood at 26 basis points for the quarter. We don't expect any meaningful surprises in the coming quarters and remain on track to deliver the full year guidance of 45 basis points. To wrap it up, let's turn to Slide 22 on the capital. This quarter, we had 38 basis points of capital generation organically, and this includes everything that is business as usual. So P&L, DTAs, the usual DTC amortization, the semiannual AT1 coupon and RWA growth. Overall, we're still very much on plan for organic capital generation. As mentioned, we have accrued a further EUR 93 million towards dividend, bringing the total year-to-date to EUR 352 million, whilst 37 basis points of capital you see here includes DTC acceleration. All in, CET ratio stands at 15.7% on a fully loaded basis or 10 basis points higher if you take into account pending transactions. Note that the transitional CET1 ratio stands at some 36 basis points higher at 16.1%. With now, let's open the floor for questions.
Operator: [Operator Instructions] The first question comes from the line of Demetriou, Alex with Jefferies.
Alexander Demetriou: Just 2 questions from me. So next quarter, we see the AXIA and AstroBank deals close. So if you were to look across your current product offering and income lines, are there any other areas where you see gaps, you'd like to strengthen that could be supported by the bolt-on acquisitions or potentially supported through the partnership with UniCredit? And just secondly, so on loan yields, when should we expect the yields to stabilize if rates were to remain flat from here and we start to see the end of the repricing lag that we are likely to see continue into Q4?
Vasilis Psaltis: Well, Alex, it's Vassilios. I'll take the first one. On the area of bolt-on, as we have said in the past, bolt-on has been quite an efficient and effective way of doing 2 things. Number one is to quickly go to narrower areas where we spotted gaps or where we want to accelerate further our product offering and/or geographies. And the second element that we have been fortunate to tie it so far is that we acquired with it excellent human capital, which is, as you well know, currently one of the biggest constraints that we have across the industry or across the industries, I should rather say, for growing further. So this, to us, being a proven strategy, which we do continue to scan the universe for areas like that. As I said, it's not just about gaps. It is also about progressing faster. There are such, and we're actively looking into that.
Unknown Executive: If I may add regarding your question for the closing of the announced transactions, Astro has closed. So in the fourth quarter, you will see its numbers in the group numbers. As far as AXIA is concerned, we expect closing in the fourth quarter of 2025.
Vassilios Kosmas: If I can pick up on the second part of your question, if I understand correctly, you tried to assess what's the outlook for the NII. I mean the first thing to note here that we are still very confident on our total revenue projections for 2026. Now as regards to the dynamics, you're right to say that some of the pressure that we had on the rates in Q3 versus Q2 will be abated. So you should expect a slightly better picture in Q4 versus Q3. So we continue this trend. But most of the growth in NII, we're going to be looking at it in the 2026 numbers, where effectively, we expect flat rates and the impact of volume growth on loans to come into play.
Alexander Demetriou: If I could just follow up. So if we think about the loan yields in a stable environment, when do you expect them to be flat and we no longer see that repricing lag come through and so kind of lower interest income, excluding like the volume effect?
Iason Kepaptsoglou: No. I think we need to leave that for the full year state where we're going to provide guidance for 2026. I don't think we ought to be commenting on that at this point.
Alexander Demetriou: No, no, that's very clear. No worries.
Vasilis Psaltis: I think given Alex's question, just hold on this point, I think it is useful perhaps to give a bit -- so sketching a bit on what may come our way for 2026 because I think the important thing for the market to understand is that for 2026, what we're going to be looking for is to capitalize on the strategic approach that we have taken so far. And as such, I think we're comfortable with market expectation vis-a-vis our total revenues. That is the point I would like to stress that Vassili has also mentioned before. And so far, we have been building on holistic relationship, which are now proven to be the core advantage of our bank, and that allows us to be more adaptable as the demand for nonlending services, including asset and wealth management, et cetera, is picking up. So that -- I think that is a key takeaway, and that is what you should expect to hear more from us when we have our full year results looking into 2026.
Operator: The next question comes from the line of Kemeny, Gabor with Autonomous Research.
Gabor Kemeny: Can I please follow up on NII and specifically on corporate loan spreads, which I believe have been trending down. You show that on Page 29 of the presentation. Is this a trend you would expect to continue? I mean 2.4% corporate loan spread is still very solid. That's the first one. Second one, you mentioned that the deposit pass-through has perhaps been higher than you expected. Indeed, you show a 55% deposit pass-through. Can you elaborate on the dynamics here and how the front book, back book of the pricing of the deposit portfolio looks like? And just lastly, a very comfortable capital position, even if we take into account the upcoming transaction closings. How do you think about raising your distribution above 50% from '25 results?
Vassilios Kosmas: Let me try to pick on this, Gabor. Thank you for the questions. So starting with the corporate loan spreads, you're right to note that there's a bit of a linear 7 or 8 basis points tightening on a quarter-to-quarter basis. As we see the market, we're sort of leading the absolute level compared to our peers. So we're very happy with the mix that we have, that we keep some distance from the tightest situations. And as mentioned several times, we are walking away from situations that don't fit our return on investment criteria. I think it's useful also to keep in mind that the strategy here when we're looking at the corporate relationship is not all around spread, but around the overall relationship. That's why you see much of what we see lower in NII from spreads to be recouped from trade finance. Trade finance for reference is around about a bit more than 30% corporate. Transaction banking fees from corporate is around about 30% higher this year than the previous year. Now on the time deposit pass-through, I think you're right to note that pass-through is pretty much stable at around about 65%. We're sort of tracking the market on that one, to be frank with you. And what we see happening in the market is that as rates stabilize and mind you that rates practically have stabilized in Q3, the time deposit book takes around about 6 to 7 months in our case to converge. So you should expect in the next couple of quarters, time deposit pass-throughs to go, maybe collectively 4, 5 points for the whole market, including us. I wouldn't give you that for the next couple of months. But as I said, it should take couple of quarters for this to materialize, assuming, obviously, that base rates are going to be at the same rate that they currently are at around about 2%.
Vasilis Psaltis: Now on the point of -- if I may take it, Vassili, on the point of distribution, I think for 2025, it is clear that we expect to pay 50% of the reported profit. So that's close to EUR 450 million, EUR 111 million of which will soon be distributed as an interim dividend. And from where we see it, we clearly have the capacity to grow higher than that, and it's something we intend to do from '26 onwards, both in terms of absolute amount on account of earnings growth and obviously subject to regulatory approval on the back of a higher payout.
Gabor Kemeny: That's very helpful. Just a small follow-up on the 4, 5 points you mentioned, I'm not sure I got that. What did that refer to, please?
Vassilios Kosmas: Time deposit pass-through, Gabor.
Operator: The next question comes from the line of Munari, Filippo with JPMorgan.
Filippo Munari: So I have 2 questions. The first one, I saw that you raised the normalized EPS target, excluding the buybacks to EUR 0.47 in 2027 from EUR 0.46, I think. So what's driving that? Is it better fees, better OpEx or a combination of things? If you can please give some color on that would be super useful. And then second thing on the trading and other income side. I understand there is EUR 12 million of negative impact from the Tier 2 refinancing in the quarter, but that should explain only part of the weakness because the run rate would be still quite higher than that. So can you please comment if there were other negative factors affecting the trading line in the quarter?
Iason Kepaptsoglou: If I quickly take the guidance, the EUR 0.47 is something that we have disclosed back in August with the second quarter results, and it's mainly on account of a lower cost of risk. Hopefully, you remember the discussion we had back then about the improvement we've been able to produce on the guidance with cost of risk sustainably. So that's the only reason behind the EUR 0.47 in 2027. And then on the other question, Vassili.
Vassilios Kosmas: Sure. I mean, if you turn to Page 16, if I understand correct your question, you're asking us around the Q2, EUR 30 million of trading and other income versus the Q3, EUR 1 million. You're right to point out that around about EUR 12 million is the LME. The other element, which is noteworthy here is rental income, to be frank with you, which is classified as other income. This is the dividend from our 10% shareholding in Prodea. This was a EUR 12 million dividend, which was paid out in June. And obviously, they don't pay such a dividend every quarter. I think more importantly, it's important for people to consider, and I think some of that is due on us, too, that when the bank is reporting around about EUR 460 million plus net fee and commission income, we're missing around about another 25-ish currently on an annualized base rental income, which other people used to report in this line. So I think in the coming quarters, we should make this more clear because this is a recurring line coming in. On top of this, our risk appetite for real estate is growing. This is an investment that we are continuously stepping our feet. So we expect more to come in Q4 in terms of investment and more recurring income to come out of these investments in 2026. But obviously, hopefully, you have made some patience to give you a bit of a full picture around that in February.
Operator: The next question comes from the line of Kantarovich, Alexander with Roemer Capital.
Alexander Kantarovich: My question would be on UniCredit participation, clearly a major factor affecting your valuations. And now that they have reached 29% and possibly going higher, surely, this would have -- this partnership is having a big strategic implications for Alpha. So my question is, how do you see this participation progressing in the near future in 2026, if possible?
Vasilis Psaltis: Well, I think for something that you implied about the evolution of the stake since we are not the owners of the stake, I think I'm simply going to echo what Andrea Orcel has said on that. Now the way he and we view it is that we have an outstanding relationship at all levels with UniCredit. And this is not just a top management team, but a wide array of people at UniCredit that are regularly involved with people on our sites as we are going -- as we're doing so many things together. We and they were all excited to do it because it is truly a mutually beneficial relationship, both in terms of commercial activity as well as exchange of know-how. And the partnership is outstanding, and this is progressing well on all fronts. And thus as a result of that, both as Alpha Bank, but I think also as a country, we have welcomed UniCredit to Greece. And as the saying goes, if it works, I mean, don't fix it. There is nothing more at the moment beyond the current state. All I can reaffirm is that we are deepening and broadening the things that we are doing together. And there's going to be more on that, that we will be able to report quarter-by-quarter.
Alexander Kantarovich: Okay. Okay. Let's call it deepening, yes. My second question is on the effect of FX on loans. I think you used the phrase FX headwind in one of your slides. Can you elaborate?
Vassilios Kosmas: Sure. Yes, I'm happy to take that one. Effectively, what we're saying is that the bank, I mean, rough numbers has EUR 36 billion loan book in terms of euro. On that, you should include something in the tune of EUR 3.2 billion, EUR 3.3 billion of USD-denominated shipping loans. And obviously, interest is charged in USD. So these 2 metrics stemming from the balances, right, and the NII do have an impact when the dollar has weakened some 15%, 16%, if I remember the numbers correctly from the beginning of the year. So that is the impact that we're discussing here. Does that make sense?
Operator: [Operator Instructions] Ladies and gentlemen, we have another question from the line of Novosselsky, Ilija with Bank of America.
Ilija Novosselsky: I have 2, please. So first, on your Investor Day that should come in Q2. If you can just give us maybe a sneak peek of what would be the main topics that would be subject to discussion. And I also wanted to ask the reasoning behind the timing of the Investor Day because your previous one, which was in 2023, was at the time when there was a lot of change in rates, macro and so on. Well, now we are entering arguably a place of stability, and you also tend to give 3-year targets on your Q4 results. So I just wanted to ask about the reasoning for the Investor Day. And second, maybe if you can comment a bit of your loan pipeline for Q4, if you can say whether it should be stronger, weaker compared to this quarter and whether it should be large corporates or there's some movements more into SMEs. And also, I'm seeing on Slide 40, which is showing your disbursements versus repayments. So this quarter, you had rather solid disbursements, but you had an increase of repayments and if there's a reason for that.
Iason Kepaptsoglou: I'm going to take the first one. Ilija, I'm sorry, I'm going to -- afraid I'm going to have to disappoint you. Unlike movies, we're not going to be producing trailers for the Investor Day. You need to hold your breath until then. And hopefully, it's going to be nice. So no color whatsoever on what we're actually going to be publishing with the Investor Day. In terms of timing, this has to do with Investor Relations planning and how we work internally. There's a specific cadence of events that's leading us towards the second quarter of next year, also taking into account the busy schedules that investors and analysts like yourself have. On the second question, Vassili?
Vassilios Kosmas: Thank you, Iason. I mean, on the loan growth, if we start with Q3, as you rightly say, it was another strong quarter. Seasonally, Q3 is a good quarter because of the footprint on the bank. It's the bank typically has a much larger footprint in tourism and accommodation and both hospitality projects and trade around these areas is picking up in the summer. Hence, we had another good quarter. To a lesser extent, just I'm talking for the quarterly numbers, it was construction and energy, very typical drivers of our Q3 of our quarterly evolution. Now when it comes to Q4, first of all, important to note that we have guided the market on around about EUR 2.2 billion net credit expansion for the year. We're already there in the first 3 quarters. Now when it comes to Q4, it's fair to say that we're going to be crossing our annual number, but I would be hesitant if I were you to put another EUR 600 million, EUR 700 million into this. The reason has to do with what we mentioned during the presentation that there is a couple of large refinancings coming in Q4. This is a couple of transactions linked to M&A, where some of our competitors opted to go a bit more aggressively in credit terms. We didn't want to go there. So I would say you wouldn't expect -- you shouldn't be expecting any fireworks in Q4, still some positive mild positive growth. Then on retail, what we have seen, which is pretty much in line with the market is that from quarter after quarter that we had negative inflows, Q3 was the first -- not the first, but one of the quarters that we had positive inflows in all segments, both [ SBs, ] which is typically our stronger product line, but also mortgages and consumer loans. We expect this to continue as retail is turning corner. I mean, hard to imagine EUR 0.5 billion out of retail in the coming quarters, but still having like 50s or 60s rather negatives is a good number for us. I'll have to disappoint you on why the repayments in Q3 are in the tune of EUR 2.1 billion. Let's take it offline because honestly, I don't have it on top of my head.
Operator: We have another question from the line of Nigro, Alberto with Mediobanca.
Alberto Nigro: Very 2 quick questions. One is on the bond portfolio. This quarter it seems that the repricing of the bond portfolio has been very minimal. Can you help us to understand when we should see the better yields coming through the NII? And the second one, if you can help us to understand the impact of AstroBank in Q4 for the P&L lines and if this is included in the full year guidance?
Iason Kepaptsoglou: I'll take the second one. On AstroBank, we're only talking about a bit under 2 months. So there's not a very big impact, and it's already included in the guidance that we have provided to the market for this year. So minor impact from AstroBank. Obviously, we're going to be extracting some synergies next year, and you will see a more material impact thereafter, in line with the guidance that we have provided for a 5% uplift to EPS. On the first question you had on the repricing of the bond portfolio and when we expect yields to improve there, we have yet again with us our CIO, Konstantinos, here to answer.
Konstantinos Sarafopoulos: You've already seen the impact from Q4 and Q1 on the repricing of our bond portfolio, and you should continue to see that all the way into 2026, not only from the investments happened this year, but the upcoming maturities, which again are going to be reinvested that 1% or higher than the current back book yields. Obviously, on the last quarter, we didn't make any significant investments on all our maturities, and that's why we haven't seen any significant impact on quarter-on-quarter on that book.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Vasilis Psaltis: Well, thank you very much for your participation. We're looking forward to welcoming you again at the very last week of February where we're going to be releasing our full year results. Thank you very much.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a pleasant evening.